Operator: Good day. And welcome to the IHS Holding Limited Third Quarter 2024 Earnings Results Call for the three-month period ended September 30, 2024. Please note that today’s conference is being webcast and recorded. [Operator Instructions] At this time, I’d like to turn the conference over to Robert Berg. Please go ahead, sir.
Robert Berg: Thank you, Operator. Thanks also to everyone for joining the call today. I’m Robert Berg, Head of Investor Relations here at IHS. With me today are Sam Darwish, our Chairman and CEO; and Steve Howden, our CFO. This morning, we published our unaudited financial statements for the three-month period ended September 30, 2024 with the SEC, which can also be found on the Investor Relations section of our website. We also issued a related earnings release presentation and supplemental deck. These are the consolidated results of IHS Holding Limited, which is listed on the New York Stock Exchange under the ticker symbol IHS and which comprises the entirety of the Group’s operations. Before we discuss the results, I would like to draw your attention to disclaimer set out at the beginning of the presentation on Slide 2, which should be read in full along with a cautionary statement regarding forward-looking statements set out in our earnings release and 6-K filed as well today. In particular, the information to be discussed may contain forward-looking statements which, by their nature, involve known and unknown risks, uncertainties and other important factors, some of which are beyond our control that are difficult to predict and others which may cause actual results, performance or achievements or industry results to be materially different from any future results, performance or achievements or industry results expressed or implied by such forward-looking statements, including those discussed in the risk factors section of our Form 20-F filed with the Securities and Exchange Commission and our other filings with the SEC. We’ll also refer to non-IFRS measures, including adjusted EBITDA that we view as important in assessing the performance of our business and ALFCF, which we view as important in assessing the liquidity of our business. A reconciliation of non-IFRS metrics to the nearest IFRS metrics can be found in our earnings presentation, which is available on the investor relations section of our website. And with that, I’d like to turn the call over to Sam Darwish, our Chairman and CEO.
Sam Darwish: Thanks, Robert, and welcome everyone to our third quarter 2024 earnings results call. I’m pleased to say that we are reporting solid performance across our key metrics in the third quarter, driven by healthy secular demand and the quality of our contract structures. This led to robust revenue performance despite significant year-on-year ForEx headwinds, with our ForEx resets helping to mitigate the impact of the Naira, which devalued as much as 52% year-on-year versus the dollar, causing us a $265 million headwind year-on-year. We are, however, pleased to have again seen reduced volatility of the Naira during the third quarter compared to earlier in the year. As we discussed at our second quarter results, in August, we announced a significant milestone in our long-term commercial relationship with MTN in Nigeria by renewing and extending all our tower contracts with MTN in Nigeria through 2032. Our third quarter financials reflect for the first time our new financial terms with MTN Nigeria, and this is the main driver for the 3.5% quarter-on-quarter decline versus the second quarter of 2024. On an organic basis, our third quarter revenues increased by 49%, when compared to the third quarter of 2023, driven by ForEx reset and continued growth in revenue from colocation, lease amendments and new sites. Looking at our profitability, our strong third quarter adjusted EBITDA grew over 3% year-on-year to $246 million, reaching a margin of 58.5%, and highlights the resilience of our financial model and our continued financial discipline. We are also pleased with our ALFCF generation during the third quarter, driven by EBITDA performance and ongoing CapEx optimization. Based on our year-to-date capital allocation decisions and our expectation of making further CapEx savings, we are revising our full year 2024 CapEx guidance range down. Given our performance year-to-date, we also remain confident on achieving our current 2024 revenue, adjusted EBITDA and ALFCF guidance, and are trending towards the upper end of our existing guidance ranges. We are also reiterating our target leverage ratio of 3 times to 4 times. So, in summary, profitability up, ALFCF generation up and CapEx down, all in line with our publicly stated goals. In addition to solid financial performance, we are making great progress across a number of our initiatives. Let’s turn to Slide 6 to look at some of the highlights. During the quarter, we have continued to deliver on numerous elements of our strategic review, with the aim of unlocking shareholder value versus what we believe is our existing suppressed valuation. As already highlighted, our third quarter performance shows continued progress towards our goal of increasing adjusted EBITDA and substantially reducing our CapEx to increase cash flow generation. We continue to assess Group-wide costs, CapEx structures and new ways to operate our networks, including how we can introduce more technology, especially artificial intelligence, into our ways of working to help us realize the targeted efficiencies. During the third quarter, we have also made important commercial progress across our African business, notably with our MTN Nigeria contract renewal and extension, which I will discuss in a little more detail very shortly. We continue to examine our portfolio of markets to determine the right composition for IHS going forward, and as previously indicated, this will include raising proceeds with a target of $500 million to $1 billion. The capital raised from these initiatives will primarily be allocated to reduce debt, while also considering share buybacks and or introducing a dividend policy. As a reminder, these initial targets do not rule out additional initiatives we are assessing in parallel in our pursuit of increasing shareholder value. Moving to MTN, the MTN Nigeria commercial deal puts us in a great position, having now renewed and extended all our tower contracts with MTN in Nigeria through 2032, covering nearly 13,500 tenancies and approximately 23,800 lease amendments. With this milestone, we have now recently renewed and extended all six of our MTN country MLAs well into the next decade, in addition to the extension of our Airtel Nigeria MLA to 2031. The result of this important commercial progress is that we have recently renewed over 70% of our Group revenue, markedly improving our financial profile and visibility. We have lengthened our average tenant term duration to 8.1 years, increased our contracted revenues to $12.3 billion, and ensured that we have no material renewals with our largest customer, MTN, until the end of 2032. This draws a line under a series of customer renewals. We have also derisked our operating model by materially reducing our exposure to power prices, with the expectation that this will result in reduced volatility of our earnings. Through our contract renewals, we have moved the significant majority of our business to either power pass-through, like in South Africa or power indexation, like in Nigeria, and Steve will discuss in more depth later in the call. Moving to our balance sheet, we continue to take a disciplined approach to cash generation and capital deployment, recognizing the importance of maintaining a strong balance sheet. We remain comfortable with our cash position and we continue to expect to remain within our target leverage range of 3 times to 4 times this year, albeit at the top end of the range. During the quarter, we have continued to make improvements in line with our strategic priorities. We have extended our maturity profile and shifted more of our debt into local currency through our new $439 million equivalent five-year term loan, which is split across a U.S. tranche and a South African rent tranche. Proceeds from the facility were used to fully refinance our $430 million term loan that was due to mature in October 2025. Lastly, on Nigeria, we have seen reduced volatility of the Naira during the quarter compared to earlier in the year, although devaluation against the USD still remained. The average USD-Nigerian Naira ForEx rate was 1,601 in the third quarter 2024 versus 1,392 in the previous quarter. We continue to see strong U.S. availability, allowing us to source and upstream U.S. dollars to Group with $155 million upstream year-to-date from Nigeria as of November 8, 2024, of which $74 million was upstream since the end of the second quarter. And with that, I will turn the call over to Steve.
Steve Howden: Thanks, Sam, and hello, everyone. Turning to Slide 8, as Sam mentioned, here we show our third quarter performance. As you see, both towers and tenants are up approximately 2% in 3Q 2024 versus 3Q 2023, while lease amendments again increased by double-digit percentages, positive signs of the fundamental underlying tenancy growth continuing across our key markets. While revenue is down 10% year-on-year and a few percentage points from the second quarter 2024, the quarter reflects a very different FX environment versus third quarter last year, and now the impact of the MTN Nigeria commercial deal since the second quarter. Adjusted EBITDA, however, is up, reflecting continued cost control and highlighting the resilience of our financial model. Specifically, in 3Q, we saw adjusted EBITDA increased 3% year-over-year and we saw a significant increase in our adjusted EBITDA margin of 750 basis points versus 3Q last year, reaching 58.5% in the quarter. ALFCF, meanwhile, also increased by approximately 2% year-over-year. Our level of CapEx investment decreased by 34% in the quarter, driven by the pullback in CapEx across all our segments as we focus on improving cash generation. Finally, our consolidated net leverage ratio increased year-on-year to 3.9 times at the end of the third quarter, but in line with Q2 2024. As previously communicated, we continue to expect to remain within our target 3 times to 4 times range, albeit to remain at the higher end of the range this year. So, revenue, much as we expected, complemented by an increase in adjusted EBITDA, an increase in adjusted EBITDA margin, an increase in ALFCF and a decrease in CapEx. Turning to our revenue, on a consolidated basis, you can see how the continued devaluation turned a quarter of strong organic growth into a 10% decline. The Naira devalued 52% in 3Q 2024 versus 3Q 2023, yet the business delivered organic revenue growth of 49%, driven primarily by FX resets, by power, and by CPI escalations. Note that the revenue growth drivers here are illustrative of the rebased USD components, shown as if the MTN Nigeria renewal was in place in the third quarter of the last year. You’ll see the larger contribution from power in the third quarter compared to recent quarters, driven by the increase in the power component of our use fees as a result of that MTN Nigeria renewal, which I’ll discuss in more detail on the next slide. New lease amendments, fiber, new colocation and new sites also contributed to organic growth this quarter and came from countries across our portfolio. The right side again shows the organic growth rates of each of our segments for the quarter, where our Nigeria segment grew approximately 87%, including a large benefit from FX resets. Moving to slide 10, I just want to take a moment to detail the excellent work our teams have done over recent periods to materially reduce our exposure to movements in power price and derisk our operating model. In this regard, our business now is very different to what was at the beginning of 2024. In a number of steps, we have moved from a company with meaningful exposure to power prices to one with a significant majority of our business now being power passed through or power indexed. Looking at the middle chart on Slide 10, you can see that our third quarter 2024 revenue split now reflects the new contractual terms from MTN Nigeria following the renewal of all of our tower MLAs back in August of this year. We continue to believe that the new structure provides a more balanced split between foreign and local currencies, and the newly introduced diesel-linked component is intended to act as a hedge against diesel price and FX fluctuations. Under these new terms, our direct USD exposure is reduced, but in return, we no longer own the risk of diesel price fluctuations, which is now passed on to MTN Nigeria through diesel indexation. The new power element, in our view, also acts as a hedge against movements in the Naira-dollar rate, given that the local diesel price reflects movements in global diesel prices, which are priced in dollars. As a reminder, the USD component will continue to benefit from quarterly FX resets and annual US CPI-linked escalations and the local currency component will continue to benefit from local CPI-linked escalations now applied every six months rather than annually. This significant change of introducing power indexation to our use fees with MTN in Nigeria, together with unbundling the power managed services contract with MTN in South Africa in the second quarter, now means that IHS has moved its business model to being further protected against power price volatility across our footprint. On Slide 11, you can see our consolidated revenue, adjusted EBITDA and adjusted EBITDA margins for third quarter 2024 as we’ve already discussed. Specifically, in the third quarter, the adjusted EBITDA of $246 million, an adjusted EBITDA margin of 58.5%, benefited from a decrease in cost of sales as we seek to drive efficiencies across a number of our cost lines, including tower repairs and maintenance costs and regulatory fees. On slide 12, we review our adjusted levered free cash flow. In the third quarter of 2024, we generated ALFCF of $87 million, a 1.6% increase versus third quarter last year, primarily due to the increase in adjusted EBITDA and a decrease in revenue withholding tax, partially offset by an increase in net interest paid. Our ALFCF cash conversion rate was 35.4%. Looking at CapEx, in the third quarter of 2024, CapEx of $66 million decreased 34% year-on-year, continuing the trend we have seen over recent quarters. The decrease was driven by lower capital expenditures across all our segments and the decrease in Nigeria was primarily driven by decreases related to Project Green, given the investment in this project is largely complete, while the decreases in Sub-Saharan Africa were primarily driven by a decrease in maintenance CapEx, following the unwind with MTN South Africa for the power managed services business. LatAm CapEx declines were driven by decreases related to new site CapEx, although we still retain a healthy level of new site build in Brazil. Please note that our year-to-date cap allocation decisions have led us to reduce our 2024 CapEx guidance that I’ll touch on in more detail later in the call. On the segment review on Slide 13, firstly I’ll add Sam’s earlier comments on what we’re seeing in Nigeria. In September, the CBN made another 50-basis-point rate hike, bringing the NPR to 27.25%. That’s a total of five rate hikes in 2024. These actions appear to have initially had a positive impact on Nigeria’s FX market, albeit the November 8th U.S. dollar to Naira Bloomberg rate is now at $16.68. Most recently, the Nigerian government raised over $900 million following the successful issuance of an inaugural locally issued U.S. dollar bond. The transaction marks a significant step up for Nigeria as the government remains focused on stabilizing the economy with the aim of increasing dollar flow within the country, enhancing the attractiveness of Nigeria as a foreign direct investment destination and improving transparency in the money markets. While there continues to be more to do as a result of these actions, we’ve seen an increase in U.S. dollars in Nigeria and FX reserves in the country have increased again to $38.4 billion at the end of September 2024 from $34.2 billion at the end of June 2024. Since the FX environment adjusted in Q1 of this year, we’ve been able to upstream $155 million to Group during the year from Nigeria alone. We continue to expect to upstream more throughout the rest of the year. For IHS in Nigeria, third quarter 2024 revenue of $242 million decreased 11% year-on-year on a reported basis, reflecting the items we’ve just discussed, the significant FX headwind year-over-year and the impact of the new financial terms in Nigeria. This more than offset the 87% organic growth, which was driven primarily by FX resets and power. Our co-location rate also decreased a little to 1.56 times down from 1.58 times in the third quarter of last year, following the reintegration of 210 towers and 529 tenant churns in the quarter from our smallest key customer in Nigeria, on which we were not recognizing revenue. Lease amendments continue to be a strong driver of growth, increasing 4.8% year-on-year as our customers added additional equipment to our sites. Third quarter 2024 segment adjusted EBITDA in Nigeria was $159 million, a 3.2% decrease from a year ago. But segment adjusted EBITDA margin was up 510 basis points to 65.6%, given a reduction in cost of sales, primarily driven by a decrease in tower repairs and maintenance costs, and despite the year-on-year increase in the cost of diesel. In our Sub-Saharan African segment, towers and tenants increased by 0.9% and 3.4% respectively, versus the third quarter of last year. Revenue is impacted by the unwinding of our power managed services business in South Africa, including lower pass-through revenues being recognized, albeit this has no impact on our adjusted EBITDA. Therefore, revenue for the segment decreased by 10%, but segment adjusted EBITDA increased 22.3%, primarily due to lower regulatory fees and maintenance and power generation costs, following the changes in our agreements with MTN South Africa. Segment adjusted EBITDA margin increased 1780 basis points to 67.5%, again, aided by the continued benefit of the power managed services agreement unwind. In our LatAm segment, towers and tenants grew by 8.9% and 6.5% respectively, versus the third quarter of last year. Revenue decreased by 13% as a result of negative FX movements and reduction in revenue recognition from OI, given their judicial recovery proceedings. In Brazil, our second largest market with 8,109 towers, macro conditions softened this quarter as the Brazilian real devalued against the dollar and there were increases in both interest rates and inflation. Moving on to LatAm profitability, and while segment adjusted EBITDA decreased by 11%, segment adjusted EBITDA margin increased 130 basis points versus the third quarter of last year, which mostly reflects the decrease in revenue, while savings across a number of cost lines were accreted to margins. In MENA segment, towers and tenants grew by approximately 1%, while revenue increased by 23.8%, including 19% organic revenue growth, driven primarily by new sites and lease amendments. Segment adjusted EBITDA increased 55.5%, driving the third quarter 2024 segment adjusted EBITDA margin to increase to 63.1%. Moving on to Slide 15, here we look at the capital structure and the related items. As at September 30, 2024, we had approximately $4.1 billion of external debt and IFRS 16 lease liabilities. Of that $4.1 billion, approximately $2 billion represent our bond financings and other indebtedness, which includes $430 million that has now been fully refinanced post the quarter in October 2024, using a new $439 million five-year term loan that we completed in October. As Sam mentioned, this new term loan is evidence of a desire to continue to improve the strength and flexibility of our balance sheet, which is a really important component of our strategic review. Not only does the term loan extend our maturity out to 2029 with a bullet structure, the new South African rand tranche swaps dollar obligations into local currency as we seek to closer match our debt FX exposure to our revenue FX profile. Cash and cash equivalents around the Group were $397 million as of September 30, and in terms of where that cash is held, approximately 21% was held in Naira at our Nigerian business. As we mentioned, we were able to upstream another $74 million since the end of the second quarter, bringing the total to $155 million year-to-date as of November 8. While we anticipate to upstream again in 2024, we do caution it remains to be determined if the increased dollar availability can be sustained. So, from all these moving elements, at the end of the third quarter 2024, our consolidated net debt was approximately $3.7 billion and we had an unchanged consolidated net leverage ratio of 3.9 times versus the end of the last quarter in June 2024. We expect leverage to remain within our target 3 times to 4 times net leverage ratio this year prior to the realization of any future disposals, at which time we expect leverage to drop. Moving to Slide 16, given our performance year-to-date, we remain confident on achieving our current revenue, adjusted EBITDA and ALFCF 2024 guidance. Our guidance reflects the updated currency assumptions shown on the slide. And as you can see, some of these new assumptions have had a positive impact on our 2024 financials, such as the Naira, but this is somewhat offset by a number of adverse currency movements negatively impacting our financials in Brazil, Zambia, Côte d’Ivoire and Cameroon, for example. The net impact, though, is positive, and this combined with solid underlying momentum means that we are trending towards the upper end of our existing revenue adjusted EBITDA and ALFCF guidance ranges. With regards to CapEx, based on our year to date capital allocation decisions and our expectation of making further CapEx savings, we’re revising our full year 2024 CapEx guidance range down to $270 million to $300 million. This is in line with our strategic priority of taking a disciplined approach to capital deployment and improving our cash flow generation. We continue to recognize the importance of maintaining a strong balance sheet and reiterate our net leverage target of 3 time to 4 times, albeit expecting to remain at the top end of the range over the remainder of the year. As we move into next year, we expect leverage to start to drop organically, driven by adjusted EBITDA growth and higher cash flow generation. Disposals will supplement this deleveraging as and when they complete. We also expect significant increase in ALFCF in 2025, driven by EBITDA growth and lower withholding tax in Nigeria. We will announce our FY 2025 guidance on our next earnings call in the new year. This now brings us to the end of our formal presentation. We thank you for your time today, and Operator, please now open the line for questions.
Operator: [Operator Instructions]
Steve Howden: Operator, just while we wait for the questions to come in, I want to also point, hope you people have seen that, this morning, we have announced a potential dual-tranche benchmark senior notes offering, obviously, subject to market conditions and the primary use of those funds as anticipate to be refinance of our existing debt. Included within that is a tender of up to $250 million of our 2026 notes and up to $475 million of our 2027 notes, obviously, conditioned on the successful completion of the new issuance. We’ll also repay some Group bilateral loan as well. So that’s all in line with what we talked about earlier in the call in terms of our balance sheet strategy, extending our maturities, and there’s another important goal that we wanted to try and complete in 2024. There’s obviously more information in the related press releases and filings on our website. Operator, should we take questions?
Operator: Your first question comes to the line of Richard Choe from JP Morgan. Your line is open.
Richard Choe: Hi. I just wanted to get a quick update on what the carriers in Nigeria are doing. Have you seen their investments or plans for their network actually change with the stabilization in Naira? And then I have a follow-up question regarding CapEx.
Steve Howden: Hi, Richard. Yeah. So we’ve seen sort of an evolving pattern, if you like. Two big ones, obviously, MTN and Airtel in Nigeria. I would say both of them have slowed somewhat in terms of their CapEx through the course of 2024 in relation to currency devaluation. But I’d say that that’s pretty stabilized now as we run through Q3 and into the end of the year and I know they’re both thinking through hard how they start reinvesting in 2025. So, yeah, we’ve seen a little bit of slowdown on that and I think that was very much aligned to our own thinking in terms of CapEx slowdown as well. I think we discussed that in our Q2 results in terms of how we were slowing down our growth CapEx and that mirrors what the operators are doing. So we are somewhat in sync from that perspective, but looking forward to 2025.
Richard Choe: And regarding the CapEx part, you have, I guess, the new site portion and the, I guess, non-new site discretionary portion. How should we think about those two portions as we kind of end 2024 and go into 2025? Where do you see that kind of going next year in those two buckets?
Steve Howden: Yeah. So we obviously haven’t got to formal guidance for FY 2025 yet. We’ll do that on our next earnings call. But directionally, I think, similar to this year, as we’ve been stating very clearly and repeatedly, we’ve been continuing to kick the tires on our CapEx investment, amongst other things, to make sure that we are investing in the best projects and that we are generating the maximum returns we can from a lower spend and I think we’ve been quite open with that. Obviously, Project Green, which was our power investment from previous years, finished, largely finished this year. So that’s not there going forward. But we’re being very targeted and focused on growth CapEx going forward. So, Brazil will still be a destination in terms of new sites and fiber. And those two asset classes make up the majority of those two buckets that we present. So new site CapEx, obviously, towers, discretionary CapEx, executing new sites. Most of that was Project Green, but not going forward, and is fiber. So we’ll do similar sorts of trends as we have this year, but we’ll confirm all that on our next call.
Richard Choe: Great. Thank you.
Operator: Your next question comes to the line of Jim Schneider from Goldman Sachs. Your line is open.
Jim Schneider: Good morning and thanks for taking my question. I was wondering if you could maybe comment a little bit on the strategic review process and the progress you’re making there towards that $500 million to $1 billion of proceeds from assets. Maybe any kind of color in terms of whether you’ve further narrowed down the aperture of geographies you’re considering there and maybe any color you can provide on sort of what stage you are in the negotiations with any potential future buyers.
Steve Howden: Hi, Jim. Thanks for the question. So obviously, a topic that we can’t shed too much light on in terms of specifics until there’s announceable items, which we are working hard on in the background. Things continue to progress well, lots of work going on. We’ve said before that we want to get announcements out sooner rather than later and that’s still very much the plan. So no change on range of the disposals that we’ve spoken about before, no change on timing of that. Yeah, we will announce things as soon as we can.
Jim Schneider: Understand. And then maybe just as a follow-up to that, in terms of the proceeds and the use of those, I mean, you’ve clearly talked about potential debt pay down, potential buybacks, potential dividend. Obviously, there’s been some changes in capital markets over the last few months since you last reported. So maybe you can provide us with some color about your current thinking on the allocation or relative prioritization of those three buckets? Thank you.
Steve Howden: Yeah. Again, sorry to be slightly boring. No real change to what we’ve said before. We’ve always said that the primary use of those proceeds was going to be to pay down debt. That remains the case. We will obviously very carefully consider other forms of shareholder return like share buybacks, which we already have an authorized program in place from last year, and of course, the dividend policy in due course as well. I would just point out, we’re obviously gone into the market today to announce a potential debt capital markets transaction and the thinking along the disposals line plus refinancing all hangs together. So notwithstanding refinancings that we are doing anyway to extend our maturity, that’s complementary to disposal proceeds as and when they come in.
Jim Schneider: Thank you.
Operator: Your next question comes from the line of Michael Rollins from Citigroup. Your line is open.
Michael Rollins: Thanks and good morning. I was just curious, if you take a step back on the asset strategy, I think the original goal for IHS was to diversify its market operations, especially to add more regions beyond Africa. And with the asset modernization, that could potentially kind of start to reduce some of that diversification. So where does IHS stand on where it would like to optimally see its asset mix on a three-year to five-year view? And what are you hearing from investors as you’ve had conversations in terms of other things that IHS could do in parallel that the Board is either intrigued by or interested in? Thanks.
Steve Howden: Thanks, Mike. So I’ll start and Sam can jump in as well. So, look, I think we’ve been pretty open that, we’re trying to achieve a number of objectives around the strategic review and some of the things we’ve been talking about publicly. Disposal proceeds, yes. Reduced debt and leverage, yes. We have long said that, part of that original diversification strategy was to get a smaller contribution from Nigeria and whether that’s bigger elsewhere or smaller there, that’s been part of our considerations as well. We’d said a long time ago, a number of years ago that over time we wanted Nigeria to be sub-50% of IHS as a Group and that originally was being worked on in terms of getting bigger elsewhere. So hence, expansion into the Middle East and expansion to LatAm in years gone by. Those expansion plans are obviously on hold at the moment. We’re in a different strategic place at this point in time. But those sort of long-term ambitions still ring true in terms of the overall shape of the business. But again, we’re always saying this caveat partly because we truly mean it. We are very focused on shareholder value creation here and whilst that is the goal and that’s what we’ve been working towards for years, we’re assessing lots of different things right now to try and get the share price moving in the right direction. So that’s the plan, that’s the aim. But we will look at other things as well. And Sam, if you want to jump in.
Sam Darwish: I think, Michael, while diversification is important and has always been a key objective of ours, we have to also be cognizant that Nigeria is a fast growth market. Even with the devaluation that happened, even with the slight reduction in our adjusted EBITDA number given ForEx, Nigeria has grown organically by almost 50% year-on-year. I mean, we are faced with that. But having said that, that remains an objective, and as we are doing, as we are rolling our strategic asset program, review program, this is being taken into consideration also.
Michael Rollins: Thank you.
Operator: Your next question comes from Maurice Patrick from Barclays. Your line is open.
Maurice Patrick: Yes. Good morning and good afternoon. Thanks for taking the questions. I mean, one from my side, just in terms of the outlook for tenancy growth. If I look at Slide 14 and the growth in your tenancies, it’s -- for the rhetoric around strong demand for connectivity across your core markets, it doesn’t seem as though there’s a very strong growth in tenancies. Now, I appreciate in Nigeria you’ve got a churn of that smaller customer there. But I’ll be curious to your general thoughts in terms of the growth in tenancies in the coming quarters ahead and that demand from your customers. Is it that your customers aren’t wanting to densify and grow as fast as they want or is it that you can’t deliver it because of what you’re doing in terms of your investments? I’d love to hear your thoughts in terms of that demand. Thank you.
Steve Howden: Thanks, Maurice. Yeah. I think, Slide 14, I continue to reiterate and point people towards you need to look at tenants, as well as lease amendments. Our lease amendments are not included in our tenant count. They are separately counted. So we’re looking at what we call co-location tenants, that’s new clients on existing infrastructure. We’re also looking at lease amendments, which is existing clients on existing infrastructure taking more space. So other peers in our sector blend all that together with a calculation. So you only get one number, whereas we split it out. Lease amendments is customers densifying by definition, right? They’re already on the sites and they’re adding more equipment, new technologies, taking more space, et cetera. And in the last year, we’ve done close to 3500 lease amendments onto the portfolio, as well as 600, 700 new tenants, which is obviously a net return as well. So I think, the underlying fundamentals remain there and need to make sure we’re looking at both of those KPIs and expect those trends to continue.
Maurice Patrick: Thank you. And I think in terms of an earlier question, a quick follow-up on the CapEx side, when you asked about CapEx for next year and you said, well, really it’s too early, but think similar in terms of direction. I noted in your prepared remarks, you talked about how your COGS were down this year and I suppose you are focusing obviously on priorities around cash generation to leveraging. Curious as to whether those come back in 2025 or whether they’re sort of sustainably down to a low level now? Thank you.
Steve Howden: We’re working hard to keep them more sustainably lower. Yeah. So one of the things, again, that, we’ve been pretty public on is wanting to continue improving the profitability of the business and particularly the margin. Implied within our guidance is still roughly a 54% margin for the full year, but that’s obviously inclusive of Q1, which was significantly down. You’ll see we were 57% EBITDA margin last quarter, 58% this quarter and it’s a mid to high 50% margin implied within the guide for Q4 as well. So, yeah, we are working hard to keep those COGS down and expect that to continue into next year.
Sam Darwish: And Maurice, in Brazil, for example, we’ve been able to move the CapEx per tower by 50% down by changing kind of like the form, the structure, et cetera, et cetera. So it’s not just basically reducing CapEx. It’s changing the way we do things and changing the way we build it. In Brazil, for example, we’ve seen recently a massive pickup in 5G. We want to be ready for that. So this is not just about us stepping on the side, basically, and not building CapEx. This is about building it in a much smarter way also.
Maurice Patrick: Thank you for that. Is there a reason why CapEx per tower is down 50%? What are you doing differently to reduce that CapEx per tower so much?
Sam Darwish: I mean, we changed our view on tenancy. We basically decided to build lighter towers. We’re changing the sourcing of the metal. We’re changing the way it’s being assembled. Where do we buy it from? It’s several things.
Maurice Patrick: That’s very helpful. Thank you.
Robert Berg: Any other questions, operator?
Operator: There are no further questions at this time.
Robert Berg: Well, thank you, everybody, for listening to the call and we look forward to being in touch very soon. Thank you.
Operator: That brings us to the end of the IHS Holding Limited third quarter 2024 earnings results call. Should you have any questions, please contact the Investor Relations team via the email address investorrelations@ihstowers.com. The management team, thank you for your participation today and wish you a good day.